Operator: Ladies and gentlemen, thank you for standing by and welcome to the Stifel Financial Year-To-Date and Quarterly Financial Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Joel Jeffrey, Head of Investor Relations at Stifel Financial. Thank you. Please go ahead sir.
Joel Jeffrey: Thank you, operator. I'd like to welcome everyone to Stifel Financials, Fourth Quarter and Full Year 2021 Financial Results Conference Call. I'm joined on the call today by our Chairman and CEO, Ron Kruszewski; our Co-Presidents, Victor Nesi and Jim Zemlek; and our CFO, Jim Marischen. Earlier this morning we issued an earnings release and posted a slide deck and financial supplement to our website, which can be found on our Investor Relations page at www.stifel.com. I would note that some of the numbers that we state throughout our presentation are presented on a non-GAAP basis, and I would refer to our reconciliation of GAAP to non-GAAP as disclosed in our press release. I would also remind listeners to refer to our earnings release, financial supplement and slide presentation for information on forward-looking statements and non-GAAP measures. This audio cast is copyrighted material by Stifel Financial and may not be duplicated, reproduced or rebroadcast without the consent of Stifel Financial Corp. I will now turn the call over to our Chairman and CEO, Ron Kruszewski.
Ron Kruszewski: Thanks, Joel. To our guests, good morning and thank you for taking the time to listen to our fourth quarter and full year 2021 results. As always, I’ll start the call by highlighting our full year and quarterly results. Then Jim Marischen will review our balance sheet and expenses and I’ll wrap up with our outlook for 2022 and some concluding thoughts. With that, let me turn to our results. For the full year, Stifel’s performance was stellar. 2021 marked our 26th consecutive year of record revenue and our fifth consecutive year of record earnings per share. Furthermore, we posted record results basically across the board. Simply 2021 is the result of the historical investments we’ve made in people, products and technology accompanied both with organic growth and strategic acquisitions. The market environment certainly was a wind at our backs, but we would not or could not have produced these results without these strategic investments. Looking forward, our optimism for our business is a direct result of our focus on constantly reinvesting in our business and improving our relevance to our clients. For the year, revenue totaled $4.74 billion up nearly $1 billion over 2020 while earnings per share of $7.08 increased 55% and drove a return on tangible common equity of 34%. In terms of capital deployment, I’ve stated that Stifel will attempt to maximize returns and invested capital primarily through growth investments including acquisitions. We also utilized capital by increasing – by increasing the size of our bag and finally we returned capital to shareholders through dividends and stock buybacks. In 2021, Stifel increased capital by approximately $1 billion. In pursuing the objective of maximizing returns on capital, in 2021 we grew our loan portfolio by nearly 50%, made a strategic acquisition of Vining Sparks, pay common and preferred dividends of approximately $100 million and repurchase 173 million in common stock. As we examine the various levers to attempt to maximize the best risk adjusted returns, we concluded that we have underweighted our common dividend rollup relative to other capital deployment strategies, and relative to our peers. Given our outlook for 2022, the increased scale and breadth of our business and our ability to generate significant excess capital after continued and anticipated investments in our franchise, I'm happy to announce that Stifel’s board of directors has approved the doubling of our annual common dividend to $1.20 a share from $0.60 per share. The fact that we've generated strong revenue growth should not have come as a big surprise as Stifel as a growth company and we posted record revenue every year for over a quarter century. Yet, as good stewards of shareholder capital, we focus not only on revenue growth, but also on profitability, and returns on capital. Slide two illustrates our growth since 2015. Basically, in six years, we have doubled Stifel’s net revenue with Global Wealth increasing nearly 90%, and institutional more than doubling. A particular note is our growing advisory franchise, which has increased from about 200 million in advisory fees in 2015, to 850 million in 2021. I have stated on numerous occasions that our lending opportunities were significant, considering the relative size of Stifel bank, to our combined client facing franchises in Global Wealth and institutional. This has resulted over the past six years in a 33% average annual growth in our loan portfolio, with our most recent quarter further underscoring Stifel’s ability to source quality law. To summarize this slide the growth and the scale of our operations has over the past six years produced average revenue growth of 13% pre-tax margins that improve from 10% to 24%. Return on tangible common equity that has surged from 10% to 31% and earnings per share that has averaged 35% annual growth. Now let me discuss our most recent quarter results. Stifel generated record quarterly net revenue that surpassed $1.3 billion, an increase of 23% over 2020. Our revenue growth coupled with our expense discipline, resulted in a pre-tax margin of 26%, non-GAAP earnings per share of $2.23, which was up 34% year-on-year, and an annualized return on common tangible equity for the quarter of nearly 37%. We are also pleased that we closed on our Vining Sparks deal and welcome them to Stifel. The next slide provides more detail on our quarterly results. Our net revenue was driven by record performance in both Global Wealth Management and the institutional growth. Compensation as a percentage of net revenue declined sequentially to 57.5% reflecting the operating leverage of record revenue. Our operating expense ratio was 16.5% and excluding credit provision and investment banking growth subs totaled 15.5% which was well below our full year guidance. Taken together, Stifel’s quarterly pre-tax income totaled $335 million, which increased 33% from the fourth quarter of 2020. Moving on to our operating segments and starting with Global Wealth Management. Before I talk about the financial results for Global Wealth, I want to reiterate the importance and stability of this business and the consistency of profitability. Our more than 2300 advisors serve clients from nearly 400 locations and combine an entrepreneurial culture with a full suite of financial solutions, coupled with excellent service. Their efforts helped us achieve record quarterly and annual results as fourth quarter revenue totaled $674 million up 17% year-on-year, and full year revenue was $2.6 billion, an increase of 19%. The drivers of this continue to be recruiting increase client activity and growth in interest earning assets. Asset Management revenue was up 2% sequentially and we experienced solid asset inflows and fee-based assets, ending the year with $162 billion. We generated annualized net new asset growth of 7% during the quarter, as total client assets finished the year at $436 billion. Revenue for this line item is correlated to beginning of quarter asset values as we build advance for the majority of our fee based products. As such, the first quarter of 2022 will positively reflect this reality. The next slide highlights the strength of our recruiting and loan growth as growth drivers as well as the increasing stability of our revenue. For the quarter, we added 34 advisors with total trailing 12-month production of $16 million. This includes 27 employee advisors, of which 16 more experienced advisors and 7 advisors hired into Stifel independent advisors, as recruiting in this channel is beginning to pay off. That said, I would remind everyone that the fourth quarter tends to be seasonally slower for recruiting. But as I look forward, I'd expect 2022 to be another strong year from a recruiting standpoint, as our current pipelines remain robust. Not only have we added more than 121 advisors in 2021, but we continue to see our private client revenue shift to a more fee based model. In 2015, transactional revenue accounted for 51% of our Global Wealth Management yet today, totals 32%. The increase in fee-based revenues has been the result of recruiting high net worth advisors that typically have more of a fee based clientele as well as the growth of net interest income as we expand Stifel Bank. Why I always said that Stifel is product agnostic, given the trends in the industry and the growth of our balance sheet, I would expect a percentage of these more recurring revenue to increase in the years to come. I am particularly pleased with our loan growth driven by significant demand from the various facets Stifel’s client platform, loans increased $3 billion up 23% sequentially, or 92% annually. This increase helped drive a 7% sequential increase in net interest income. Jim will provide more color on this later in this presentation. Moving on to our institutional growth, our quarterly net revenue totaled a record $633 million, up 29% both sequentially and from the prior year. Full year revenue also a record increased 36% to approximately $2.2 billion. We posted our third consecutive record advisory quarter of $311 million, which was up 49% sequentially. Capital raising posted revenue of $155 million and was up modestly from last year. Transactional revenue or some say sales or in-trading or client facilitation revenue increased 30% sequentially to $161 million and totaled $616 million for the full year. Our institutional pre-tax margin was 28%. For the full year, pre-tax margin was 26% was up 550 basis points as we continue to generate substantial top line growth, which drives operating leverage. Moving on to the components of the institutional growth our equities business increased 22% to $689 million in 2021, with fourth quarter revenue of $157 million. Our fixed income business finished the year with revenue of $588 million, up slightly from 2020, but still a record. For the quarter, we posted revenue of $160 million, which was the second highest in our history. Our quarterly fixed income business reflected strengthened capital raising, as well as the benefit of our acquisition of Vining Sparks. As they typically do, I'll focus on the transactional businesses of these segments on this slide. Quarterly equity transactional revenue was up 36% sequentially. This was the result of normal seasonality in our business, increase market activity levels, and solid mark-to-market gains on our portfolio. For the full year, equity transaction revenue was $255 million roughly flat with the prior year. Fixed Income transactional revenue of $95 million was up 25% sequentially. The increase was driven primarily by Vining Sparks, which contributed to the last two months of the quarter. For the year, fixed income transactional revenue totaled $361 million. On slide nine, we look at our Investment Banking Business. For the full year, Investment Banking increased 64%. For the quarter revenues were up 41% Our performance was strong across our entire platform. And I would note that Stifel’s business was diversified across verticals, products, head geography. Looking at our advisory practice, I'll simply say that 2021 was outstanding. Our full year revenue of $856 million was double our 2020 results and an increase of more than 90% from our prior record in 2019. As essentially all of our verticals have strong year, which illustrates the success of the growth strategy. Our fourth quarter results were equally impressive as $311 million of advisory revenue surpassed our prior record by almost 50%. Moving on to capital raising, our equity underwriting business posted revenue of $100 million. For the year, we had our strongest ever equity underwriting results, with revenue of $476 million. In 2021, Stifel ranked as the fifth most active underwriter and the 11th most active book runner across all equity and equity linked products. Our fixed income underwriting business posted its third consecutive record quarter was $67 million in revenue up 11% sequentially. Our municipal finance business posted another great quarter as we lead manage 264 municipal issues. For the full year our market shares in terms of number of transactions increased by 130 basis points to a 13.2% market share. In addition to the strength of our public finance business, we continue to see strong contributions from our debt capital markets business. As you can see from the chart on the slide, we've had a long track record of growth. Allow me to explain this growth and its sustainability. Back in 2011, we made the strategic decision to build our investment banking capabilities. Our growth plans centered on layering investment banking, on top of our core strength in equity research. We were then and remained today one of the largest and most respected global providers of equity research. Thus, we have focused our efforts on adding talented investment bankers to a selective hiring and opportunistic acquisitions, and broadening our product offering and geographic footprint. Our managing director headcount has increased from 79 in 2011, to 205 today, and we've transformed our investment banking product. Stifel has grown from a purely U.S. small cap focused effort to a full service investment bank. We started by improving from co-manager to book runner and our equity origination efforts, largely on the back of the strength and research. From there, we have grown to be a full service Global Investment Bank, with growing revenue centers in the United States, Europe and Canada. We now have the capabilities of a bulge bracket firm and can offer a broad range of products that include restructuring SPACs, leveraged finance, 144A's, private placements, private equity events and venture sponsored coverage. The result of this process is substantial operating leverage in our business as our bankers and have been on our platform since 2016, have roughly tripled their production over the past six years, increased productivity, the growth in our total MD headcount, and the breadth of our product offering have combined to drive a nearly 700% increase in investment banking revenue over this timeframe. Said in other way, we are building this franchise as we do on global wealth, which is via the addition of talented and entrepreneurial associates armed with a broad array of product offerings and technology. So as we start out 2022, we continue to believe that our investment banking activity will be strong. Our pipelines are meaningfully larger than they were coming into 2021. That said, market volatility can impact the timing of closings, and our performance during the year will not be linear. We do look at our current pipelines and under relatively normal operating environment we expect another solid year from our investment banking. And now let me turn the call over to our CFO, Jim Marischen.
Jim Marischen: Thanks, Ron. And good morning, everyone. So starting with net interest income, we generated $138 million of NII in the fourth quarter, which was up 5% sequentially. The growth in our NII was driven by an 8% increase in our interest earning assets as we're able to produce a sizable increase in our loan portfolio. Our firm wide net margin decreased to 204 basis points, primarily due to the bank NIM of 236 basis points. This was driven by increased loan origination activity and a highly competitive lending environment. For the full year, net interest income came in above our guidance at $503 million. This was driven by the more than $5 billion increase in our loan portfolio during the year, as we're able to leverage the investments we've made, as can be seen in our fund banking practice. So we took advantage of strong market dynamics in that lending channel. Given the loan growth, and the 0% interest rate environment, our bank NIM in 2021 was essentially the midpoint of our guidance, and relatively flat year-on-year. In terms of our first quarter expectations, we see net interest income in the range of $140 million to $150 million, and with a bank NIM of 235 basis points to 245 basis points. I'd also note that we've updated our asset sensitivity based on the increased size of our balance sheet. Given the further growth and based on asset levels at the end of 2021 we now estimate that we will generate an incremental $200 million to $225 million pre-tax net income as a result of 100 basis point increase in rates. This again assumes a 25% deposit beta and the parallel shift in the yield curve. And I like that this analysis is based on the entire last rate cycle, no additional asset growth. Later in the presentation, Ron will discuss our NII forecast, which is based on our anticipated growth. Potential timing of federate increases and the projected range of deposit betas for 2020. Move on to the next slide. I'll go into more detail on the bank's loan and investment portfolios. We ended the quarter with total net loans of $16.7 billion, which is up approximately $3.2 billion from the prior quarter. It was primarily driven by growth in our commercial channel, our commercial portfolio increased by $2.3 billion, primarily due to a $2 billion increase in fund banking loans. On the consumer side, our mortgage portfolio increased by $500 million sequentially as we continue to see demand for residential loans from our wealth management clients. Our securities based loan portfolio increased by approximately $330 million. Growth in these loans continues to be strong, as every recruiting momentum continues to drive increased loan balances. Moving to the investment portfolio, total investments decreased by $100 million sequentially as a result of lower agency MBS holdings. As we continue to see opportunities to grow our loan portfolio, we'd expect to see the bond portfolio to continue to comprise a smaller portion of our overall interest earning assets mix. Turning to the allowance, the loan loss provision expense in the quarter totaled $4.1 million, due to the aforementioned loan growth, and more than offset the improved economic forecast, based on the composition of our loan growth during the quarter, which was primarily driven by fund banking, which carries a lower overall reserve than our other commercial portfolios. Given the relative level of credit risk, our ratio of allowance to total loans declined to 75 basis points, excluding PPP loans. Despite the growth in our portfolio, we continue to see strong credit metrics with non-performing assets and non-performing loans totaling seven basis points. As we look forward to 2022, we expect to see a more normalized annual provision expense that will more closely mirror our existing reserve levels applied against new loan growth. Moving on to capital deployment, our risk based and leveraged capital ratios declined to 18.7% and 11.7% respectively. Modest decreases in our capital ratio were the result of substantial loan growth in the bank, our share repurchase program and the impact of the acquisition of Vining Sparks. During the quarter, we repurchased approximately 1.2 million shares, and for the full year, or purchases totaled nearly 2.5 million shares. We currently have 10.8 million shares remaining on our current authorization and we will look to continue to offset dilution to repurchase shares opportunistically. As Ron stated earlier, we're increasing our annual dividend to $1.20 a share from $0.60 a share. Since we initiated a dividend in 2017, we viewed it as a vital element of our capital deployment strategy, and we increased it each year by an average of 23%, including a 32% increase in 2021. As you can see, from the charts and the commentary on this slide, we generate a significant amount of excess capital and consistently deploy it. In 2021, we increased Tier 1 capital by nearly $1 billion and deployed more than that in our capital deployment strategy. Well, the 100% increase in our common stock dividend is substantial. The necessary incremental capital based in our current share account equates to only $63 million on an annual basis, or less than $16 million per quarter. On the next slide, we'll go through expenses. In the fourth quarter, our pre-tax margin improved 190 basis points year-on-year to nearly 26%. The increase was a result of strong revenue growth, a lower compensation ratio, and our continued expense discipline, our comp to revenue ratio of 57.5% was down 70 basis points for the prior quarter. For the full year, our comp ratio was 59%, which is down 90 basis points from 2020 and at the midpoint of our full year guidance. While our comp ratio declined for the full year, given the composition of revenues, I would note that our total comp expense is nearly $550 million above 2020 to the growth in our revenues. Non-compensation operating expenses, excluding the credit loss provision, and expenses related to investment banking transactions totaled approximately $203 million and represented approximately 15.5% of our net revenue. The increase in the dollar value from the prior quarter was driven by increased conference, travel and entertainment expenses. In the quarter our non-GAAP after tax adjustments totaled $13 million, or $0.11 per share. As previously noted, the difference between GAAP and non-GAAP results are related to deal expenses that are primarily included stock-based compensation and intangible amortization. Effective tax rate during the quarter came in at 18%, which is below our full year guidance. This was due to the benefit related to the tax impact on stock-based compensation. In terms of our share count, our average fully diluted share count increased by 480,000 shares and it was below our guidance on last quarters call due to the share price as well as increase repurchase activity. Absent any assumption for additional share repurchases, and assuming a stable stock price, we expect the first quarter fully diluted share account to be 118 million shares. Through that, I'll turn the call back over to Ron.
Ron Kruszewski: Thanks, Jim. I'd like to take a minute or two to discuss our strategy for our segment, and how this positions us for continued growth in our major business lines. In Global Wealth Management we have focused on enhancing our advice model through aggressive recruiting of entrepreneurial advisors, combined with a robust product offering and technology platform. The result of this approach has been solid growth in both the number of financial advisors on our platform, as well as the amount of client assets. As I look forward, our recruiting pipeline is robust and the traction we are gaining with Stifel independent advisors will further enhance our growth prospects as we look to leverage cutting edge technology with our advice driven model. In the institutional group, our approach is relatively simple; continually build out our capabilities to become more relevant to our clients. Our client relationships are built on a history of successfully executing mandates and it has been our experience that the combination of trust and increased capabilities is the best approach to growing the business. We will continue to selectively hire and make acquisitions into verticals and products that we believe can leverage our existing infrastructure and make us further relevant to our clients. Our bank is an increasingly important component of our business, and its increased size and scale will help enhance both our wealth management business and our institutional group, as it leverages our wealth management and corporate clients, cash balances and offers lending products to our clients. We see continued opportunity for growth at the bank, as we are undersized, that Stifel Bank is under size relative to our 4000 plus client facing professional. We built out a substantial platform through a conservative approach to lending and channels such as securities based loans, mortgages, fund banking, and C&I loan. We've accomplished this while maintaining strong risk control. And while we intend to continue to grow the bank, we will continue to be diligent in terms of risk management. Lastly, I want to remind everyone that at its core Stifel is a client centric business and in quality service for clients have and will be an essential driver of our business. Our focus is to help our clients organize and reach their goals through outstanding service and leading technologies. This drives our continued investment in people, products and geography to enhance the trust our clients have in us, and our relevance to them. This approach has not only helped us grow our business with existing clients, but attract new associates to our platform. Before we discuss our outlook for 2022, let's look back a year to what we said at the beginning of 2021. We entered last year optimistic as our investment banking pipelines were strong; our wealth management recruiting pipelines were strong, we anticipated further balance sheet growth, and our client asset levels continue to increase. As you can see, our performance far exceeded our original expectations, and even surpassed our updated midyear guide. While healthy markets conditions help drive our results the primary factors continue to be the increasing diversity of our product suite and our ability to opportunistically pursue growth strategies. Looking forward to 2022, we believe the Fed will increase rates at least three times beginning in March. The steepness of the yield curve will depend on the market view of a risk of recession. And while we would be impacted overall if the economy starts to slow, as Jim indicated, our net interest income is highly correlated to short term rates. Our base case assumes a first quarter market correction followed by improved market with the S&P 500 increasing mid-to-high single digits year-over-year. So that brings us to our guidance for 2022 on slide 17. Our guidance is based on our assumptions and our base case scenario, which overall we believe represents a favorable operating environment. That said, I would remind everyone that markets are fluid and can change quickly due to events such as another surge in COVID-19 cases or a geopolitical events. But we cannot predict these events. We believe the best way to forecast our performance is to assume normal operating conditions. As such, we expect net revenue to come in 2022 between $4.9 billion and $5.2 billion. We know the street consensus is slightly below the low end of our revenue guidance. The underlying drivers of our guidance are similar to what we saw coming in to last year loan growth, our recruiting pipeline, increase client asset levels and strong investment banking pipeline. As I look at the components of our revenue, I’d highlight the following expectations for 2022. Transactional revenue will be relatively flat for both institutional equities and fixed income. Asset Manager Revenue will be up as we enter 2022 with fee-based assets that are 26% above where we started the year in 2021. And investment banking revenues, they may be down slightly as advisory revenue should be strong, but equity underwriting will be highly dependent on market conditions. Additionally, we anticipate relatively flat revenue from public finance. That being said, we enter 2022 with our investment banking pipeline, roughly double where it was a year ago, which gives me optimism that despite market volatility, we can post another strong year. In terms of our NII expectations, we're given a specific range of 650 million to 750 million. We anticipate balance sheet growth of between $4 billion and $6 billion and bank net interest margin from 240 basis points to 270 basis points. As I said earlier, our asset sensitivity is almost entirely to the short end of the yield curve. So the difference in our NIM forecast is based on the number and timing of an increase in Fed funds, the low end of the guidance or 650 million implies zero rate increases while the high end 750 million assumed increases at the first three fed meetings in 2022, and a zero deposit beta. So, let me be clear, our base case calls for us to increase our net interest income in 2022 by close to $150 million and balance sheet growth alone. If we get the three rate increases that we expect, I should say beginning in March; our net interest income could possibly increase by approximately $250 million. Given the low compensation attached to the net interest income, this will be a significant driver of our bottom line in 2022. So now, let me ask Jim to discuss our expense outlook.
Jim Marischen: Thanks, Ron. On the expense side, we believe that our disciplined approach, coupled with highly variable nature of our compensation expense, and the increased revenue contribution from net interest income will enable us to lower ratios even with headwinds being faced from inflation. Our approach to compensation is very much performance based. And if you look back to 2021, approximately two thirds of our total compensation expense was variable in nature. Given the structural dynamic, and the mix of revenue drivers, we are forecasting compensation expense to be in a range of 57% to 59% of net revenues. Our projected non-comp operating ratio of 16% to 17%, should benefit from our expected growth in revenue, and offset the expected increases in travel, entertainment, and conference related expenses. Given advancements in and adoption of technology, it's difficult to predict how travel, entertainment and conference expenses will normalize going forward. While we don't anticipate these expenses to fully normalize to historical levels, I would highlight the total of these expenses in 2019, was approximately $37 million more than the total of these expenses in 2021. If we added the full amount of this difference back into our non-compensation expenses in our 2022 forecast, we are still projecting our non-comp operating ratio to fall within our expected guidance. I would also know that given the expected growth in our loan portfolio, we did anticipate an increase in a provision expense. Recall that last year; we had a negative provision expense as we continue to benefit from the run-off the reserves we accrued in 2020 to the expectations for a weak economic outlook. We've essentially worked through those reserves, and barring a substantial change in the economic outlook, we would anticipate our provision expense to be driven by loan growth and credit quality. And with that, I'll turn it back to Ron for his closing comments.
Ron Kruszewski: Before I turn the call over for questions, let me just reiterate something you've heard me say before. Stifel has been and continues to be a growth company. Our history of growth over the past 26 years, and more specifically, over the past decade, has been a function of our continued focus on reinvesting in our business. This has not only led to an impressive streak of annual revenue growth, but also substantial improvement in our profitability. This platform has put our company in a position to continue to grow into the future despite an ever changing market environment. Our recruiting and balance sheet growth has substantially increased the percentage of our revenue that comes from recurring sources, which increases the stability of our results. Additionally, our strategic hiring and acquisitions has made our institutional business more relevant to our clients, and resulted in our improved standings in the industry league table. We will continue to deploy capital on the strategies that generate the best risk adjusted returns and further the growth of our business. Finally, I'd like to thank all my partners at Stifel for their continued commitment to making our firm a premier wealth management and investment banking firm. Without their effort, our history of record performance would not be possible. To them and to our shareholders, I would like to reiterate what I said last year that the outlook for Stifel is as strong as I have seen in my 25-year tenure as CEO. And as I sit here today, I can say that my sentiment has not changed. With that operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Steven Chubak from Wolfe Research.
Steven Chubak: Good morning, Ron. Good morning, Jim.
Ron Kruszewski: Good morning, Steve.
Steven Chubak: So wanted to just start off question on Capital Management. You're running with significant access today, it's about 10% of your market cap. It looks like based on the guidance ranges you provided for 2022, even with the dividend increase, you're going to generate substantially more access capital. I was hoping you to speak to your capital management priorities, Ron, where they stand today and with shares trading at such a steep discount appears in your historical multiple, has your appetite for buybacks changed at all? Why not get a little bit more aggressive here?
Ron Kruszewski: Oh, you know, I feel Steven; you asked this question every year, not every quarter. That's a good question. And the answer is always the same. And that we will, will deploy capital what we think, will drive the highest returns, our, our return on tangible equity is north of 30% annually and quarterly. And so, I if that's a metric we talk about all the time. And we will look at stock buybacks, when appropriate, we look at acquisitions, we are certainly going to use capital to grow $4 billion $6 billion in our bank, and we did even though we've doubled the dividend in terms of capital utilization, it's relatively modest, the payout ratio of south of 20%. So I hear you, and we will, not going to today lay out exactly what we're going to do on capital deployment. But we will continue to use all four levers as appropriate to manage our capital and certainly manage our return on invested capital.
Steven Chubak: Thanks for that color, Ron. And just for follow up, I wanted to just dig in a little bit to some of the assumptions underpinning the 2022 outlook guidance. Specifically, I was hoping you could just speak to what you're assuming for equity market appreciation, recognizing we've had a challenging start to the year on that front and just on expenses, given the favorable expense guidance, especially relative to your bulge bracket peers, I was just hoping you can provide some context as to how you're managing to absorb some of the inflationary pressures of it better than some of your competitors and any nuanced perspective, you could share just on inflationary trends within institutional versus wealth management.
Ron Kruszewski: Well, let me take your first question, as I said on the call. And as I think we're out there, as a firm, our base case assumptions were three fed increases beginning in March. First on the interest rate side, as it relates to equity capital markets, we expect a first quarter correction, which we've been which we've been saying, but the S&P 500 will be up mid-to-high single digits as an assumption for the S&P for the year. So those are the base assumptions, which I would which I characterize as a normal yet favorable operating environment. I always caveat sets of things can change. As relates to [Indiscernible] gets expensive, I will say, on the inflation question. And I'll point to compensation on that, we manage this firm. First of all, as a firm, we have always been a highly variable compensation shots, and that we pay for performance across the board. So you'll see pay go up on revenues goes up, and you'll see pay go down as revenues go down. Because of that model, the reality of that model is that inflation in certain aspects of our firm, that could be either on juniors or maybe in various aspects, inflation in some places, is absorbed in other places, because our shareholders can expect our comp to revenue ratio to be within our guidance, and we deal with inflation, sort of within the ranks the compensation, if you understand the reason we can do that, is because so much of our compensation is variable.
Jim Marischen: And maybe just to add on that just a bit in terms of in regards to compensation. When you look at say, just take the midpoint of our NII guide, so you're called $200 million net interest income. It was apply at 50% kind of comp flexibility number on that. You're talking about $100 million on, just say take $5 billion of revenue. It's about two points. We're bringing our comp ratio down one point in our estimate and the difference between those things is essentially accounting for some wage inflation, as well as continued investment in the business. And I think just given our relative size, and our ability to grow the balance sheet and the comp flexibility that that presents with additional net interest income is really what's helping us absorb wage inflation.
Ron Kruszewski: Yes. I mean, we see it, we're not saying that we'll see wage inflation but, but the way we run the company as a, as a percentage of revenue, we see comp coming down. Okay, that doesn't mean we don't we're not dealing with the same thing everyone else does. We structurally have a model that's highly variable that allows me to say that.
Jim Marischen: And you're coming into this year looking at last year, we're comp, absolute comp dollars, were up $550 million to start.
Steven Chubak: All good points. And just to affirm my final question just on bank growth, you recorded a significant uptake and client cash balances to close out the year in addition to a slight uptick in off balance sheet cash, which now sits at about $7 billion. In the context of the 4 billion to 6 billion of bank growth that you're guiding to for this year, now how much of that 7 billion are you assuming is swept into Stifel Bank? And what's your appetite to accelerate some of those sweeps if we do see a more constructive rate backdrop?
Jim Marischen: Well, we're going to I mean, look, well, we will sweep as needed. Okay. I mean that's, that's what I will say. And we've had this question for a number of years; too, as to back when, when our total consolidated footings were under 20 billion, we’re 34 billion now. So we have unutilized clients and corporate cash balances that will utilize for the bank. What I would say is that those balances go up as we continue to grow the firm and recruit. So I think your question is, is that, will, can we or is that going to be a limiting factor if I can presume your question? Is our client cash asset found out, as we sit here today, going to be a governing factor on our $4 billion to $6 billion, or maybe even a little bit more long growth? Obviously, the answer is no.
Ron Kruszewski: And add a little bit of color there. I would also remind everyone that there's about $5 billion to $6 billion of additional cash balances in the money funds that can be pushed back over into the suite program for additional liquidity. And then in regards to appetite for balance sheet growth, if you think back to what we've done this year, we grew the consumer portfolio, call it $2.5 billion between mortgages and securities based loan. If you look at that pace in the fourth quarter, that's probably over $3 billion. And so we're talking about $4 billion to $6 billion and our base case, and then you saw a $2 billion increase in fund banking during the fourth quarter. Now obviously there was some out outsize growth in the fourth quarter related fund banking. But we continue to see tremendous demand there. The amount of money flowing into private markets is not slow. And so we view that, is there potential to go beyond the $6 billion? Sure, if those types of low, risk, attractive risk adjusted returns present themselves, we would definitely want to leave ourselves some flexibility there to grow more than that. And we have the capital and liquidity to do it.
Steven Chubak: That’s great color. Thanks so much for taking my questions.
Ron Kruszewski: Thank you.
Operator: Your next question comes from the line of Devin Ryan with JMP Securities.
Ron Kruszewski: Morning, Devin.
Devin Ryan: Great deck. Good morning, Ron. Good morning, Jim. How are you guys?
Ron Kruszewski: All right, good.
Devin Ryan: Good. So just want to follow up on the guidance and slightly different questions here. Just, clearly good guidance, and appreciate kind of the base case, you're running through the model. If we were to assume that some of those market volatility persist longer, I know, maybe there's some caveat. But how -- is there a downside risk in your opinion to investment banking outlook, or with the kind of the diversification but this has kind of kicked in as it has in the past. So maybe, the outlook still works in a lot of scenarios. And then the last piece of it, I was a little surprised on the transaction revenues being flattish given the addition of Vining Sparks so curious where the other offsets are?
Ron Kruszewski: Okay, thanks. So I mean, in summary we, we'd like to be conservative. I think we were last year when our guidance and we're, we're trying to do that and so in short summary of our guidance, we're basically saying, look we had a great year, it was hard to predict up up from there and transactional and investment banking you know just it just it is as it's based on market conditions. So we didn't, because the increase in our guidance to 4.9 to 5.2 is fully supported by frankly, asset management starting the year with balances of 26% and our NII guidance. So you're, you make a good point that Vining Sparks will help. But there are scenarios where all of this increased loan across the industry could tap down, transactional revenue in the rates business. However, if it goes the other way, well, then the rates business will pick up. And that's the natural sort of heads that we have in the business. I think probably one of the big variables, and one of the hardest numbers for us to get our arms around and I think for the industry, we're not alone is is on the capital markets, the origination side. So, equity origination, it's highly dependent on market conditions, and, frankly, market conditions at the time. And so that's hard to predict. And, but that's down, we see other aspects of our business that would be up. And, in there in life, I think, the beauty of the diversified model that we have built. So, in short, I hear you and having these revenue items flat, I can understand your question, but that's our nature. When I look at our pipelines, I'll go the other side. If you take our pipelines and a favorable equity calendar for the year, yes, I see good things.
Devin Ryan: Okay, terrific. Well, we appreciate the guidance. I know, there's a lot of moving parts within it, as always, but it's good to have it out there. So thank you for that. And then just a follow up changing gears, talking about just financial advisor recruiting, and I know, pipelines there are at record levels. And so maybe if you need to give a little more flavor around the backdrop for recruiting by channel, you're seeing some increasing momentum on the independent side as well, which is good to see, and then the dynamic of interest rates moving higher. Is that creating any new competitive pressures on recruiting packages? Or do you expect that will happen? Have you seen that in the past, as rates go up obviously, the economics of the business can improve? So I'm just curious how you guys are either planning for that, or seeing that, more broadly, in the recruiting backdrop?
Ron Kruszewski: Well, first of all, recruiting, recruiting is always like its’ like hand-to-hand combat, right? It's not, it's not something that comes in, they don't come in packages with 20, advisors, come team, team by team, if you're not doing an acquisition. But what I can say and I have said, is that our backlog, the people we’re talking to the quality teams, is very robust. And we’ll continue to hire there. What impacts recruiting really can be market events. Deal flow is something that happens, which will keep people will make them postpone their plans. But overall, recruiting has been a driver, I see it. On the independent side, we're just getting started. Okay, that's, let's just leave it at that we're getting started. We were going to be new entrant into that space for the advisors that we've identified, that will fit our strategic goals for, for people, independent advisors. And the, for me, though, it's always nice to be able to be showing growth numbers and percentages when you're starting from a flat start, which is where we were. So I view that as positive. And as it relates to relates to deals, I think that that's always dependent on market conditions. But frankly, what I see is I see a lot of these deals that were driven, really by low interest rates and by people who discount cash flows back at lower rates was kind of like how you value growth stocks and as rates go up. While in many ways, you can argue that the economics go higher. I see, the net present value of some of these deals, making these deals, maybe at least get a cap on that. That’s a function of rate. So all-in-all it's going to be very competitive. All-in-all, we are in a good position to increase our advisors. And on the independent side, the independent advisors bring loans and balances as well. So I'm excited about our entry into that channel and put together. I think that will, you'll see, very nice results and comparative results for Stif3el.
Devin Ryan: Okay, great. I'll leave it there. But thanks for the update.
Ron Kruszewski: Yes, thank you.
Operator: Your next question comes from the line of Chris Allen with Compass Point [ph].
Chris Allen: Hello, good morning guys.
Ron Kruszewski: Good morning.
Chris Allen: Thanks for taking the question. I guess if we could just maybe revisit the capital deployment side, you've been pretty clear on the loan growth outlook out of deploying capital there and on dividends and repurchases. Maybe give us some color on in terms of how you're thinking about the potential deal environment here, whether a market correction may present some opportunities moving forward.
Ron Kruszewski: Well, yes, I mean, I pass the prologue for that to me, Chris. I think we, we are most active in on the acquisition front in difficult markets. That, a lot of things, a lot of things happen, that, if you're well capitalized, and well positioned, and have a history of being able to successfully close and integrate deals, we -- we're in a good position to take advantage of any opportunities that may present themselves in a market correction. We don't see that today. I mean, we don't see, we can have a correction here. But we don't see something where, a major downturn, like after the tech crash, today, at least, or after the financial crisis, but rest assured that, that if a market correction comes along, that we as a company are very well positioned, both culturally capital, capability and ability to get things done, as we always have, and we'll do that. Today, I get asked a lot about, would we look at acquisitions. Will we look at acquisitions in the bank space? You know as a question I get, and, and my answer to that right now is, look, we're, we grew loans $3 billion last quarter. And we see tremendous loan demand. So, when we look at the returns of just doing it ourselves, versus going by someone else's loan production at a premium, we're going to do it ourselves. That's just where we are. We see the highest risk adjusted returns from doing that today. And so, I feel we are well positioned.
Chris Allen: Got it. And then a second question, just any color, just in terms of the contribution from Vining Sparks this quarter? I think you guys had talked about $150 million in annual revenues over the last it was it was 10 years, was it inline with that, greater than that, and just [Indiscernible] Vining Sparks out to the underlying the legacy people business perform this quarter. And how do you separate the outlooks for the both moving forward?
Ron Kruszewski: And how we separate, I didn’t get the last part of your question. I'm sorry.
Chris Allen: I mean, how do you think about the outlook for both components of the business moving forward?
Ron Kruszewski: Vining Sparks and Stifel?
Chris Allen: Yes.
Ron Kruszewski: Well, well, first of all, they would be the ones. The first thing is that the Vining Sparks and the Stifel rate platform, as I said, was a tremendous fit. It was, we had a segment of clients, they had a segment of clients with very little overlap. And we put those together and in the capabilities and everything we're doing is really good. I will also say that Vining Sparks brought a lot lot to the table in the way they dealt with depositories to the client portal. They have reporting systems. They have an attitude, not that we didn't have but we were able to combine these and have a premier rates platform, especially for depositories. And I'm excited about it. They performed on expectation for us. I would say that the rates business across the industry, you’ve seen a lot of people report. I would say the rates business was below average production. You see our businesses up that’s because of Vining Sparks. But it's performed as we thought it would but more importantly, just to say that the capabilities that they brought to the table is going to be accretive to the overall platform. And that's what I'm excited about. So it's really going to be a deal that's going to really pay dividends on the revenue side, not enough trying to go in and cut expenses. And those were kind of deals we like, so I'm excited about it performed two months, it was always, at it, we've got to complete the back office integration. And I'm excited about, about the prospects.
Jim Marischen: There's definitely a lot of upside for both us and Vining Sparks. And I would say the integration is near complete. We're month or two away from a full integration from back office perspective, and it will be one business going forward. And that's how we kind of think about it in great opportunities for both.
Chris Allen: Great that's it for me, guys. Thank you.
Operator: And your final question comes from the line of Alex Blostein with Goldman Sachs.
Ron Kruszewski: Hello Alex…
Alex Blostein: Hey, Ron, hey Jim how are you guys? Good morning. So want to ask you a couple questions Jim, first on Global Wealth business. I think I heard you say 7% that net new asset growth over the course of 2021. I guess a couple points. One, is that sustainable from your perspective, given the pipeline comments you made? And does that growth rate so again, I'm assuming it's kind of mid-to-high single digits, translate into a similar organic revenue growth in that business? Or is there a mix shift occurring underneath the surface a little bit? That's something we've talked about in the past?
Jim Marischen: Yes, well, first of all, it was in the fourth quarter. Okay. That, just so I think we've said 7% in the fourth quarter. Look, I think we're, we're very similar in terms of the view, we're gaining market share, and that's how we look at it the 5% to 6% asset growth is a good measure. And you're going to -- you just need to see it in AUM. It's not directly correlated to, to revenue, because there is mixes, and there's things that happen within there. But at the end of the day, your question is a good one and one that we're, we're focused on and continue to focus on. And that is that the objective and the success metric and wealth management is going, for us, is throw a number out there. This isn't a projection, but we have 400 billion, well, we want a trillion dollars of client assets. All right, and we're and that's what we're focusing on. And we're going to get there by organically growing with our existing clients, getting new clients and by recruiting. And those always sound like, hugely aspirational, but they're really not. There are things that we can do. I always, when I started our AUM was 8 million. So we can do that. And we will, AUM growth is a core foundation to our growth forward, as it has been for the last 25 years.
Alex Blostein: Got it? That's great. Thanks. And then another follow up for me on the institutional side. When we look at the advisory business, the contribution from the fund placing business partners is something we've talked about in the past, it sounds like that business has grown. And in your commentary, it sounds also like that's going to be driver of the growth and the competence you're seeing there for 2022. Can you help us frame what the size of that business in terms of revenue contribution is today? And when you want to help with a jumping off point.
Ron Kruszewski: We haven't, we don't break out the fund placement revenues atleast we haven't on this call. So I'm hesitant putting a number out there. Today, what I'll say is that what I'm seeing and I know Victor's on the call, too. But what I'm seeing is the interrelation of all these businesses. And so, we're our fund placement business with Eaton Partners, and our fund lending business and Stifel Bank, and our M&A Bankers and our debt capitals and our what all of these teams that we've put together, have really, are really coming together. And that's why you're seeing these market share gains. And so we decided a while ago that we needed to be in the fund placement business as a sort of a leg on the stool and we also decided we needed to be in the fund lending business. And they're all very important contributors to what we're building in the institutional business. And that’s always that I want to answer this question because it's the point I'm always trying to get across is to understand what we've built in the institutional business, both banking, and transactional sales and trading in all the facets of that. So I don't, I can just tell you Eaton Partners are doing great and, and it's part of a very, successful global investment banking franchise.
Alex Blostein: Thanks very much.
Ron Kruszewski: Thank you.
Operator: And there are no further questions at this time.
Ron Kruszewski: Well, very good. Well, I realized this call was a little bit longer than our normal call. So I thank you. We did want to provide some guidance and some color that’s the way we're thinking about the business. I look forward to reporting on our continued growth and success in the first quarter of 2022. And we'll talk to you then. Thank you.
Operator: Thank you for participating. This concludes today's conference call. You may now disconnect.